Operator: Good morning, and a warm welcome to the earnings call of Alzchem Group AG. I would like to introduce the company's CEO, Andreas Niedermaier; and CFO, Andreas Losler, who will guide us through the presentation in a moment, followed by a Q&A session via audio line and chat. And with that, I hand over to you, Mr. Niedermaier.
Andreas Niedermaier: Yes. Thank you for the very warm introduction. Good morning together, and thank you for joining us today, and welcome to our quarter 4 and the year-end analyst call. As always, we will go through the presentation first, and then we are available for questions at the end. Let's skip the first slides and go directly to Page 5. So how do we see the financial year 2025 here? The chemical environment is very challenging, at least here in Europe. There are really difficult conditions in Europe. But nevertheless, 2025 was again the most successful financial year for us. We are broadly positioned. And yes, we also make basic chemicals, which yield little profit, but we urgently need for the supply of... [Technical Difficulty]
Operator: We cannot hear you right now, unfortunately.
Andreas Niedermaier: Okay. I'm very sorry.
Operator: Now it's better. Thank you. You are still gone. We cannot hear you. Sorry. [Technical Difficulty]
Andreas Niedermaier: So now we should be back.
Operator: Yes, you're back. Thank you so much.
Andreas Niedermaier: Yes. Okay. So then I go back a little bit to make sure that we have all information in our broadcast. Yes. So we think that we are really broadly positioned. And yes, we also make basic and intermediates chemicals, which yield little profit, but we really urgently need that for our supply chain and for the raw materials. So this broad market, the product tree and the focus on our niche markets has allowed us to grow against the industry trend. So with consolidated sales of EUR 562 million, the corridor for the sales forecast of approximately EUR 580 million was largely achieved. Group EBITDA increased disproportionately to sales and exceeded the forecast at around EUR 116.5 million. So what else is to report about the year-end? [Technical Difficulty] Sorry, I see that the technic is really bad. Do you hear me?
Operator: Yes, we can hear you.
Andreas Niedermaier: Okay. So let's go to the next page, which is our page, let's say, 6. I will be here again, yes. So overall, we achieved our growth targets very well with growth in Specialty segment, in particular, leading to disproportionate earnings growth of 11% in EBITDA for the group as a whole. For the first time, we are really proud to present. We have achieved and even slightly exceeded our long-term target of over 20% EBITDA margin, and we reached 20.7%. Our after-tax profit, which is relevant for a dividend, also grew by 17% from which we also derive our dividend proposal of plus 17% to EUR 2.10. A lot has also happened on the stock market with our shares and the free float. In the meantime, we have reached about 74% of free float, and this now puts us to the top of the SDAX or the beginning of the MDAX range already. In 2026, we will now mainly be busy with our investment programs, which will then deliver another real growth potential from 2027 onwards. To this end, we released about EUR 120 million for the expansion of creatine in quarter 4 2025. More on that in a moment. So the nitroguanidine growth project is entering its final phase and the interior work is currently underway with the installation of all the reactors, piping and at least the control system. Our goal is to put everything into operation by the middle of that year and then gradually ramp it up in quarter 3 and quarter 4. So far, we see ourselves absolutely in the schedule here. Our U.S.A. site selection process is almost finished. We have already started to select engineering companies for basic engineering. So you can see that things continue quickly here too as well. In summary, we can proudly report Alzchem has delivered again. But now more about the creatine information and the creatine CapEx project. Creatine is going through the roof right now. The level of awareness of Creapure is growing exponentially. In principle, we have all the prerequisites in-house, but the capacities for supplying the market need to be updated and to be added. In quarter 3, 2025, for example, we put an incremental expansion into operation, which will lead to a further growth in 2026. But that's not all. We decided on a comprehensive investment program at the end of 2025 to secure the growth strategy. In the long term, around EUR 120 million will be invested in the construction of a largely automated production plant for creatine and its precursors as well as in the necessary upstream and downstream infrastructure. Phased commissioning is planned from the second half of 2027. At full capacity, we expect the investment to generate additional annual sales potential in the initial 3-digit million range with correspondingly positive earnings contributions. The focus is on the application areas of sports, nutrition and health, in which we successfully act as a quality leader made in Germany with the premium brands, Creapure and Creavitalis and probably more to come. But let's now analyze the year 2025 a little more and go to the segment reports. Let's start here with Basics & Intermediates segment. The sales amounted to approximately EUR 155 million, which was approximately EUR 19 million below the previous year's level. Unfortunately, this development corresponds to our expectations and assumptions here. The decline in sales is mainly due to the volume effects. The main reasons for this was a weak economy in the European and German steel industries, which led to a noticeable decline in demand in the steel and product area. The decline in revenue also resulted in a reduction in segment EBITDA, and this amounted to approximately to EUR 5.6 million and was thus about half of the previous year's figure. The EBITDA margin fell accordingly by 2.6 percent points to 3.6%. In addition to weak economy in the steel sector, the significantly higher electricity price level, in particular, contributed to the decline in EBITDA compared to the previous year here. Nevertheless, the segment is very important as a supplier of raw materials for the specialties. This makes it all the more important to trim this segment for profitability in order to at least generate the cost of capital in the long term. This requires stable, calculable long-term framework conditions, which we are very much calling for in Berlin and Brussels actually, but we are also working on closer customer relationships and higher volumes in order to be able to ensure the main important utilization of the product plants. So let's now go here where we are already much more successful to our next segment. This is the Specialty Chemicals, and it's much better to report that figures because we have been very successful. So here, we grew sales by 9.2% in the quarter and 8.8% for the year as a whole, reaching almost EUR 380 million in absolute terms. This increase was driven by a combination of positive price and mainly volume effects. This also successfully offset negative effects, as you can see here, from the weak U.S. dollar compared to the previous year. The human nutrition, custom manufacturing and defense product areas, in particular, made a positive contribution to the year-on-year sales development. In Human Nutrition, the high sales level of the previous year was further increased. As already mentioned, the current trends in the global creatine market are providing additional growth influences in all application areas. An example of this is the cooperation with Ehrmann, which is very successful, concluded last year. With Creavitalis from Alzchem at the center of the new high protein creatine product line. We have already presented the further capacity expansions for the creatine case, which will support further growth here as well. In Custom Manufacturing, the positive trend reversal stabilized, and we see a further increase in demand contribution positively to the utilization and therefore, to the segment's results. In the course of the positive development, EBITDA also increased by 13.6% from approximately EUR 94 million here to up to EUR 107 million. What comes next? In 2026, with the commissioning of nitroguanidine, defense capacities will grow and will also develop very positively in 2027 then. And in 2027, creatine capacities will then gradually come online. So we will continue to see nice growth there and here in that segment as well. So much for the specialties. Now a few words about our third segment, which is very small and delivers only services on the sites. So sales were down here by 12% compared to the last year, mainly as a result of reduced regulatory grid fees, which we were allowed to charge to our external customers. And these price reductions also had the same impact on our segment's EBITDA here. The segment EBITDA was additionally impacted by some onetime year-end closing effects in connection with the reduced grid charges. So that was all for our detailed review and detailed view on the segment development. Let's now take a look at the overall group figures. And let's hear some more detailed analysis from my nice colleague here, Andreas Losler.
Andreas Losle: Yes. Also good morning from my side, and thank you, Andreas, for the insights in our segment development in 2025. As always, I'll start my analysis with looking at our P&L. Sales amounted to EUR 562 million in '25, an increase of EUR 8 million compared to last year. Compared to our guidance, we have to admit that we ended up at the lower end of our anticipated sales level. The different developments within our segments caused the situation and have been discussed already by my colleague. On a regional basis, the major sales increase could be achieved in the U.S. and Europe and can be allocated to the Specialty Chemicals segment. Our EBITDA grew by almost 11% or EUR 11 million, which means that EBITDA grew more than our sales did. Again, as we sold more within our higher-margin segment, Specialty Chemicals, we could also increase our EBITDA, while the sales decline within the other segments did not have so much impact on our group EBITDA. While reaching EUR 160 million, we slightly exceeded our guidance for '25. Cost-wise, we have to report increased personnel expenses based on increased union tariffs and slightly increased number of employees, which support our growth. Our operating costs increased mainly resulting from much higher FX losses due to the weak U.S. dollar and maintenance cost. All put together, we managed to increase our EBITDA margin to impressive 20.7% after showing 19% last year. The actual margin development also exceeded our guidance, which assumed 19.5% EBITDA margin. With stable depreciations and supported by an improved financial result, we ended up on a group net result of EUR 64 million, representing an increase of 18%. The same applies to our earnings per share. That was the big picture of our P&L. Now let's move on to the balance sheet and cash flow figures. Our balance sheet and cash flows are still very healthy, but further influenced by some special impact. By the end of '25, we showed EUR 134 million more balance sheet total as 1 year before. On the asset side of the balance sheet, this increase was mainly driven by increased CapEx spending for our nitroguanidine expansion in Germany, customer grants received and planned increases in our stock level as preparation for our furnace maintenance shutdown. On the other side of the balance sheet, major impacts came from an increased equity, the initial recognition of contract liabilities as counterpart for our customer payments and receivables for nitroguanidine expansion and such contract liabilities amounted to approximately EUR 90 million at the end of the year. While our equity increased in total by EUR 51 million, our equity ratio dropped slightly to 41.8%. This was also part of our guidance as we anticipated the huge increase in total balance sheet. Operating cash flow was highly above prior year, but was influenced by almost EUR 60 million customer grants and EUR 20 million increased working capital resulting from our scheduled stock level increase. Investing cash flow was highly above prior years and clearly shows the progress we made in our current CapEx programs, especially for the nitroguanidine expansion. Despite this highly increased CapEx activities, we can still report a positive free cash flow. As of our reporting date, by the end of '25, we can again report a positive net cash position of EUR 31 million. And again, we were able to shortly invest our liquidity surplus in order to earn interest, also the reason for our improved financial result. Our financing cash flow shows regular loan repayments and increased dividend payments to our shareholders. Furthermore, we paid out EUR 4.5 million for our share buyback program, but received EUR 3 million from the sale of our treasury stocks to our employees in course of an employee participation program. As you can see, Alzchem is in a very healthy cash position and ready for future growth. Future is a good keyword. Let's now discuss our outlook for financial year '26. From today's perspective, we see a further growth for '26. Sales are expected to grow to approximately EUR 600 million and EBITDA is expected to grow to approximately EUR 126 million. This represents a sales increase of approximately 7%, while EBITDA is expected to grow by approximately 8%. The planned sales growth shall continue to be achieved organically. The fundamental growth drivers are expected to be volume effects within segment Specialty Chemicals. We do expect further volume growth in the area of Human Nutrition and Defense. The increase in our creatine business will be supported by our last incremental capacity expansion back in Q4 '25. Our recently announced major capacity expansion will not add quantities in '26, but in the second half of '27. For our Defense business, we expect volume and revenue growth from our expansion within the second half of '26, but we are not yet assuming a full utilization of the new facilities before '27. For the Basics & Intermediates segment, we expect overall sales to be at the previous year's level. We expect the prices for key raw materials, energy and logistics to remain stable at the level of '25. The sales growth in the Specialty Chemicals segment leads to a further increase in the sales portion of this segment in our total sales. Consequently, the EBITDA of this segment and the EBITDA margin of Alzchem will also grow. EBITDA in '26 will be impacted once due to the 6 months maintenance shutdown of one of our carbide furnaces, and this measure will also result in lower energy cost reimbursement. If we look 1 year ahead, our huge investments in '26 will lay the foundation for our next phase of growth. With the completion of our ongoing and planned investments, we see a significant potential for additional growth in '27 in the lower double-digit percentage rates for our sales and EBITDA. As you can see, we have interesting times ahead of us. At this point, we would like to thank you for your appreciated attention and are now at your disposal for possible questions.
Operator: Thank you so much for your presentation. [Operator Instructions] And with that said, we have already received risen hands by Mr. Faitz.
Christian Faitz: Yes. Alzchem team, I hope you can hear me. Congrats on the results. Two questions, please, for now. First of all, can you share with us how the refurbishment of the carbide oven in Hart is going given the fact that this is, my understanding, an H1 project, and we are today essentially 1/3 through H1? And the second question would be, which growth assumptions do you have for creatine products for '26?
Andreas Niedermaier: Yes. Let's start with the first topic with the carbide, let's say, CapEx or maintenance project. So the oven is already removed and will be built up the next month. The project costs approximately EUR 10 million, between EUR 9 million to EUR 10 million. But what you have to take into consideration is that we can't produce for the first 6 months. And for that, we prepared our balance sheet, as you have already seen that we increased the stock level to a decent level to support all the sales for that year. From today's point of view, we think that oven will come back into production by the half year, approximately in July. But the process is in time and in cost calculation from today's point of view. No surprises. Yes. And what was your second question, sorry?
Christian Faitz: So the growth assumptions which you have for creatine products for '26...
Andreas Niedermaier: Yes. So as already reported, we will see the additional capacities online, what we ramped up in autumn last year. And from that point of view, we have additional 20% to 25% additional quantities available for that year, and that will really support our growth. But if you look at the overall year, the first half of the year, we expect a little lower in sales than the second half of the year. The one reason is that the carbide kiln is down, but the second reason is that the ramp-up of the nitroguanidine will happen in the second half of the year and then will really support sales side. Yes.
Operator: We are now moving on to Mr. Schwarz.
Oliver Schwarz: Firstly, let me congratulate you on the good results. A couple of questions remain from my side. Mr. Niedermaier, you stated that you are, let's say, in the finalizing rounds of your U.S. investment. As far as I know, there is a subsidy from the DoD pending in the amount of USD 90 million if you are able to finalize that new production site by the end of 2029, the latest. Can you quickly talk us through whether that USD 90 million will be sufficient to cover your CapEx? Or is there additional CapEx required from your side? And secondly, the timing of the subsidies, will they paid after the production has started? Or is that helping you along the way using milestones? That would be my first two questions.
Andreas Niedermaier: Yes. Okay. So in principle, the project is going on very healthy, and there are no interruptions. As you can imagine that there are some interesting communications around between U.S., Europe and China or so on. So as a project, it's really in a healthy situation. It's ongoing. Site selection process is close to the end, and we will start up all the planning with the engineers in the months to come. So we have invoiced the first cost to the DoD as well, and they went through quite well. For sure, there will be a little delay to get the costs back from the DoD. We calculate some months, let's say, what we have to finance by ourselves. But in principle, we are not talking about USD 90 million project costs. We are talking about USD 150 million, and that USD 150 million should cope the overall project and should be sufficient. If not, then we have to do the definitization of the project more with the DoD, and we have to report additional costs to the DoD and then probably we can be reimbursed or can get back that cost as well.
Oliver Schwarz: Another question is on Creamino. Maybe I missed it, but I didn't hear anything about the performance of that product. Could you elaborate on Creamino performance in 2025, please, and what do you expect for 2026?
Andreas Niedermaier: Yes. Creamino was not the most successful situation, but it was successful as well. So the most successful situation for us was creatine and the multipurpose plants that year and defense business with nitroguanidine as well. Creamino, we saw a small growth effect. [Technical Difficulty] I'm very sorry, it seems to be that we have some technical issues here and technical problems. Can you hear me, Oliver? You do?
Operator: Yes, we can hear you perfectly, actually.
Andreas Niedermaier: I'm very sorry because I have seen that my mic could be not really in the right order. Yes, Creamino, we saw a small growth, but not as big that we have to elaborate too much on it. Yes.
Oliver Schwarz: And your expectations on that product for 2026?
Andreas Niedermaier: So we will see additional growth because we have some customers out there, especially in the U.S., they like the product more and more. And from that point of view, we see a good growth in the low single-digit numbers, let's say.
Operator: We're moving on to Mr. Hesse.
Constantin Hesse: Really great win, congrats. Look, three questions from my side. One would be on the cadence of the ramp of the creatine facility. I'm assuming that based on your commentary that you made around 2027 growth and beyond being in the low teens, we're probably looking at a pretty good utilization of that new creatine facility already in 2028. So if you could confirm that, that could be interesting. Question number two, actually, let's just start with that question, and then we'll go to number two.
Andreas Niedermaier: Yes. So for the creatine ramp-up process, we said that we want to do that step by step because we have to ramp up some infrastructure topics as well. But from today's point of view, the additional capacity for creatine itself should be available for the second half of the year. And therefore, we will see a good growth, let's say, for the second half. And then we will be fully available for the full capacity in 2028 then.
Constantin Hesse: And from the demand perspective, you're probably looking at a pretty good utilization already in '28?
Andreas Niedermaier: Sure, we are completely sold off actually, and we have to take the customers to the year 2027 when we have additional capacities available.
Constantin Hesse: Yes. Great. And then just on the furnace maintenance, the shutdown, what is roughly the impact on the profitability in 2026?
Andreas Niedermaier: Yes. So the repair and maintenance costs summarize approximately up to EUR 10 million, but it's already included in our forecast for sure. And we can't produce, but the stuff is there. And from that point of view, we calculate with additional approximately EUR 5 million standstill costs. And we try to lower our stock level and to use our stock level, what we have built up for that half year. And from that point of view, we will receive costs from the balance sheet in the P&L for that year. But the overall effect will be approximately EUR 15 million additional cost. So that would have been -- if you add that, but I don't really like that discussions, then we would have been more at the level of EUR 140 million EBITDA than EUR 126 million, yes.
Constantin Hesse: That is exactly what I wanted to get to. That's great. And lastly, on the U.S. So you basically said that you're basically going towards the end around the site selection. You already contracted the EPC. What's currently holding off the project from going ahead? Is it -- have you already put in -- I'm assuming you already put in all the applications for the permits. So now it's all about waiting until the state provides you with the final permit. Is that it?
Andreas Niedermaier: So to be honest, nothing is holding us off from the project. All things from our point of view are ongoing. So we are talking about the permits. Yes, that's a normal process. We have to elaborate on and we have to manage. And we have already had contacted the engineering companies to translate, let's say, German plants to the Americans. And yes, from our point of view, we are really on line and on stream, and we have no real problems, only the day-to-day business to do. Yes.
Operator: We're moving on to Mr. Speck.
Patrick Speck: Congrats from my side on the very solid results in 2025. My first question is about the free cash flow development. I mean, is it fair to assume that the free cash flow might turn negative this year? I mean, on the one hand, okay, inventories will come down. But on the other hand, I think also the prepayments from customers will be lower. And with CapEx spendings rising, yes, you could end up with a negative free cash flow. Is that right?
Andreas Losle: No, it's actually not right. And it's -- as you mentioned, we still expect some more customer grants for our nitroguanidine expansion in the next year, which will increase our -- or this year, which will increase our operating cash flow. On the other hand, we will have the final payment of the European Union subsidy for our nitroguanidine expansion once we commission the new plant. So those 2 figures will impact our cash flow. So we -- and clearly, we will increase our CapEx again this year, but we expect the cash flow to be maybe, let's say, even at 0, the free cash flow to be at 0 by the end of the year.
Patrick Speck: Okay. Good to know. But a follow-up question on that, if I may. What's the overall sum of prepayments that you expect from your nitroguanidine customers? Because I thought it would be EUR 75 million or roughly EUR 75 million, and you already got roughly EUR 70 million -- or EUR 60 million, sorry, EUR 60 million, so what's the overall sum?
Andreas Niedermaier: So Patrick, you could calculate that the project costs between EUR 140 million and EUR 150 million. And all that is prepaid on the one hand from customers or on the other hand, from the EU. All that should be covered at the end.
Patrick Speck: Secondly, a follow-up on my colleague's question on the outlook for 2027. I mean, in your press release, you mentioned that you see yourself well positioned to achieve growth in the low double-digit percentage range. So what does low mean from your point of view? Is maybe a 20% jump in sales a bit too much? Should we expect a bit less? Or is this still in the range you assume?
Andreas Losle: Yes. I would say don't overspeed here. The lower double digit end, in our case, would be between, let's say, 10% to 20% for both KPI figures, which we mentioned.
Andreas Niedermaier: But we imagine that we can take another EUR 100 million to our P&L in turnover. That could be a good figure.
Andreas Losle: Yes.
Patrick Speck: And thirdly, I wonder if your business or your supply chain, at least is in any way affected by the carbon border adjustment mechanism in the EU, which was sharpened since January 1. Is there anything you -- we should expect any financial burden from that instrument?
Andreas Niedermaier: Financial burden, let's say, definitely not. At the end, it could help us a little. But actually, we don't really see any additional effects from that point of view. That's the same as for the customs in the U.S. -- for customs duties. We have not really placed any additional burdens on us so far. According to our analysis, this is due to the high importance of our really nice products for the Americans, let's say.
Operator: We're having another risen hand by Mr. Hasler. Mr. Hasler, we unfortunately cannot hear you. You have the permission to unmute yourself now.
Peter-Thilo Hasler: Yes. Am I not unmuted?
Operator: Perfect. Now you are. Now we can hear you.
Peter-Thilo Hasler: Okay. So first, my apologies. I'm in train right now, and there's a lot of noise around me. So the first question is about the inventories that you built up in the last year. And I remember that you always spoke about shutting down your ovens if the electricity price is so high. So the question is, has this buildup of the inventory had an impact on your profitability because you did not shut down the oven because you needed that inventory? And the second question would be if you could tell us in which segments the U.S. revenues increased the most. Is it also creatine, in nitroguanidine already? Or is it something else? And finally, an update on Ehrmann. Last time, you mentioned that the quantities are already sold out. We think -- and do you think that -- you think of another extension. Are these thoughts still around extending the cooperation with Ehrmann?
Andreas Losle: Yes, in the first -- your first question, Thilo, about the P&L impact of the carbide furnace shutdown. As we increased the stock level, it did not impact so much our flexibility of taking the oven out if the electricity prices are high just because in the period when we increased our stock level the most, the electricity prices were pretty much stable, and there were actually no need to take the oven out of operation due to extremely high electricity costs.
Andreas Niedermaier: Let's say that could be more an advantage because what we have seen in the first weeks in that year that the electricity costs have been much higher than in the previous year, and we can use our material from the stock. Yes.
Peter-Thilo Hasler: So the electricity prices are already up again?
Andreas Niedermaier: Yes. Yes.
Andreas Losle: The second question about the sales increase in the U.S., you are right. They were mostly allocated or coming from the creatine business in the U.S.
Andreas Niedermaier: And your question, if we have enough material available to fuel the growth of our customers, for sure. So we will grow with creatine that year, for sure, with 20% approximately or hopefully a little more. And therefore, for the existing customers, we can fuel all the growth, hopefully.
Peter-Thilo Hasler: And Ehrmann?
Andreas Niedermaier: Yes, for Ehrmann as well. No, it's an existing customer, and we have planned the material for them. And from that point of view, it should be no problem to fuel that growth as well.
Operator: We have another question by Mr. Schwarz again.
Oliver Schwarz: First, a housekeeping question. Mr. Niedermaier stated that sales in the Basics & Intermediates segment were according to plan and expectations. So let's say, the EUR 18 million shortfall between the midpoint of your guidance of EUR 580 million for 2025 and the actual number seems to come from Specialty Chemicals, if I'm not mistaken. Could you elaborate where that shortfall actually happened due to the fact that earnings-wise, you exceeded expectations, but not on the sales side. And as you said, that was not the case in Basics & Intermediates. I'm just wondering about Specialty Chemicals. That will be my first question. Second question, if I may. The U.S. tariffs, you stated that there's hardly any impact on changes in the U.S. tariffs on your company. However, this change in U.S. tariffs also affects your Chinese competitors due to tariffs on China also changing. Do you expect an increase in competition in the U.S. on some of your products, namely Creamino creatine as a result of lowered tariffs on China from the U.S.? That would be my second question. And lastly, if I may, once again, back to nitroguanidine. Sales in 2026, I heard you say that you will be ready with your expansion by mid-2026, but your customers maybe not. And hence, there's only a small -- or small batches will be delivered to the customers. I was under the impression that the, let's say, additional volumes that you are able to produce might go into other products. Is that still the case? Or are you stockpiling? Or are you just, let's say, use a low capacity at your new site to match supply and demand? That would be my third and final question.
Andreas Niedermaier: Andreas, do you elaborate a little bit on the Basics?
Andreas Losle: Yes, I will take the first question, Oliver. Your thinking is not really correct. On the Specialty Chemical segment, we ended up with the sales, I would say, on the expected level. And the major, let's say, downfall we had in the fourth quarter was in the Basics & Intermediates segment and was allocated again to the steel industry and maybe a bit to the pharmaceutical and agrochemical industry. So the whole segment was a bit less than anticipated. And as you can see, margin-wise or EBITDA-wise, we developed exactly as anticipated. And as I mentioned in my analysis of the P&L, we lost revenues in an area where it did not have so much impact on the EBITDA. So let's summarize, Specialty Chemicals was expected and Basics & Intermediates a bit less.
Andreas Niedermaier: Yes. And the U.S. tariff topic is very interesting. So it can change every day as we have seen, and there is no real forecast possible. But what we saw is that we don't have to take any additional burdens. If you go to the situation of creatine, creatine from the Chinese resources already available in the U.S. So we deliver the highest quality, the best product to them, and they like that product much more than the Chinese basis because it's reliable and a reliable basis, and that's the basis of our growth, what we see and what we will see in the future. And from that point of view, we don't have to fear about that issue. And we are talking about humans taking creatine, and they are thinking about qualities more than in the past. If we talk about Creamino, then we are talking about farmers and animals and there, the quality aspect is not as high as in the creatine. From that point of view, yes, the growth of Creamino could be a little lower because of the competition with Chinese material, but we don't fear about that as well. So we are good, prepared. We have good customers there. We are good in sales, and we have our people in the market and our product is well recognized. And from that point of view, it should not be a bigger problem for us. And Q sales for 2026. Yes, we are a little ahead of the wave as we already are used to say. But to be honest, we have to be ahead of the wave because we are completely sold out of our material and every additional ton we want to grow and the market want to receive has to be from the new production plant. And thank God that if I think about my production staff, we don't have the -- yes, let's say, the other way around. We have time to ramp up the production, and we have time to take care about a safe ramp-up of the production from today's point of view. And then we are really prepared for all the big growth in 2027. So then I take one question from the webinar chat. Here is the second question, you benefit from loss carryforwards in your cash flow statement. Where do these loss carryforwards come from and what years and what losses? So Andreas, I would like you to answer that, but I think it's very easy.
Andreas Losle: It's actually very easy. We do not have any loss carryforwards and especially not in the cash flow statement. So this is a wrong understanding.
Andreas Niedermaier: Yes. So if you see additional information required, then you could precise your question, then we can elaborate on that a little more. Then the second question was, can you walk us through the CapEx phasing of the EUR 120 million creatine program? Do you expect it to fully close the supply-demand gap? And how should we think about pricing dynamics as additional supply comes online? So yes, thank you for that question. That's always very important to think about pricing. But to be honest, we don't see that prices will come down a lot. Probably for some customers could be that if they take more quantities that we have to reduce the prices a little bit. But at the end, the contribution margin will cover that much more from my point of view. How do you expect it to fully close the supply-demand gap? Yes, we think that the market growth is big enough that we can ramp up the capacities quite well, and we can sell that to the market. And to be honest, we should think about additional capacities next year from today's point of view, how the market will demand and how the market will develop, and then we should be prepared for that kind of discussion. Then I have a next webinar chat question. How do you expect evolving antidumping measures in Europe targeting Chinese chemical producers to impact your P&L over the next 12 to 24 months? Which product lines are currently most exposed to China's competition? And what would be the expected financial impact once tariffs are in place? So Andreas, do you have a first idea about that?
Andreas Losle: Yes. My first idea would be our customers in the steel industry for our carbide business. We know that authorities are thinking about putting tariffs on Chinese steel imports. So this could help our customers in the steel industry. And as we mentioned, at the moment, we do not expect a lot of growth in the Basics & Intermediates segment for '26. But if our steel customers are recovering a bit coming or resulting from this tariff situation, we can imagine that we could deliver more into the steel industry in '26 than expected at the moment.
Andreas Niedermaier: Yes. So then next question is, what is your current level of ETS exposure? Do you have a hedging strategy in place? And how would relaxation of EU commission reduction rules flow through to your cost base? Very interesting question for sure. So we have some points where we have to take into consideration ETS exposures. The first is the raw material lime. So with the raw material lime, we have to purchase ETS here and to run our steam production, we have to purchase ETS as well. I think we have to -- how much ETS do we have to purchase a year? I question my back office here. So approximately 40,000 pieces we have to purchase. We purchase some in advance, but we don't really have a hedging strategy for, let's say, the next 3 to 5 years. So we have enough ETS available for the next, let's say, half year or for the next 6 to 12 months. That's our idea about that. So from that point of view, if there is a lowering prices or something like that, then we would not have any problems. We would have positive effects in the P&L then.
Operator: Perfect. Thank you so much for your questions and your answers, of course. Ladies and gentlemen, we have not received any further questions so far. So I guess we're at the end of today's earnings call. So thank you so much for your interest in the Alzchem Group AG. And a big thank you also to you, Mr. Niedermaier and Mr. Losler for your presentation and your time, of course. Should any further questions occur at any given time, please feel free to contact Investor Relations. I wish you all a successful day and hand over to you, Mr. Niedermaier, once more for your final remarks.
Andreas Niedermaier: Yes. Thank you. I have additional technical issues, but will be solved. No problem. Yes. Thank you very much for your questions. We can now offer the opportunity, as always, to visit us again virtually or in person at the conferences as shown above, as shown here on the slide. Otherwise, we will be back with our quarterly statement in first quarter 2026 on April 30. Stay safe, stay sound and stay in our good graces and then good bye.